Operator: Good morning. My name is Chris and I will be your conference operator today. At this time, I would like to welcome everyone to the Sandstorm Gold Third Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions). Thank you. Thank you. Denver Harris, you may begin your conference.
Denver Harris: Thanks, Chris. Good morning, everyone and thank you for joining today’s conference call. With me as usual, I have Sandstorm’s President and CEO, Nolan Watson; CFO, Erfan Kazemi; and Senior Executive Vice President, David Awram. Please be advised that some of the commentary on today’s call may contain forward-looking statements. There can be no assurance that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. I’ll now turn it over to Nolan.
Nolan Watson: Good morning everyone. At Sandstorm, we are pleased to report third quarter revenue of $15.6 million and operating cash flow of $10 million. In a minute, I’ll hand things over to Erfan, our Chief Financial Officer to discuss these results in detail and then to David Awram to provide a brief update on some of the operations, underlying streams and royalties. But before I turn the call over, I’d like to provide an update on the current market conditions and of our business as a whole. With respect to the gold mining market, it is clearly very, very bad with companies shutting mines and going insolvents on seemingly weekly basis. Precious metal equity markets have for the most part closed and are no longer functioning normally. And at today’s lower gold price, there are nearly no gold mines around the world that has sufficient economics to justify their construction in this environment. And when you factor any additional risk, given that you if you were to start building a mine and overrun on your CapEx, the markets are not sufficiently functioning to be able to provide capital in the events the capital expenditure overrun and that leads for the natural conclusion that it’s too financially risky to be providing large amounts of capital for companies to attempt building mines in this environment. As a result for the next quarter or two at a minimum, Sandstorm will be taking a breather from large streams on construction projects. During this tough market, however there are tremendous opportunities on the small side of things for us to find good deals from distract companies. We’re having a record number of conversations with companies about small royalty financing in deals where we would get right to first refusal due to larger royalty and stream financing when the markets return to normal. So, to summarize our current corporate development objectives, we will be working as hard as ever to find these small deals and take advantage of them now, while maintaining a strong cash position on the balance sheet. It’s terrible markets like this where royalty companies like Sandstorm are able to get good deals. I’d also like to take this opportunity to answer some questions that investors have been asking over the past month, which include; first and foremost, what’s happening with Luna? Is Sandstorm going to be using all of its cash to stable Luna and what’s the maximum that Sandstorm is willing to further invest in Luna? Sandstorm has announced that we’re in negotiations to modify the stream, what could that modification look like? Investors are also asking questions about what’s happening in Burkina Faso and how that’s affecting the development to True Gold’s Karma asset? And there are also has been a lot of questions from shareholders about share buybacks with the decreased share price that we have recently. And lastly shareholders have been asking about production guidance going forward. So, to start out with Luna, my understanding is that their accounts payable are current, they have cash in the bank and they continue to pay down their senior secured debt, which is now only $27 million. It’s also my understanding though that they will need more capital in order to build the crushing and grinding circuit to treat harder ores as they dig deeper in the pit. And Luna has hired Canaccord to run a strategic process for them, which is ongoing, but as it stands today, there are only two certain, there only certain factors that we at Sandstorm can control and there are other factors that we cannot control and it’s too early for me to predict how Luna will end up. However, there are two things that are clear to us which we believe we can achieve and these are; number one, as previously press released, we believe the stream needs to be restructured to give Luna chance to either be purchased or be recapitalized. The formal [jurisdiction] has not yet been determined, but if I had to guess at this point, it’s probably most likely that Sandstorm would be receiving a large royalty on Aurizona, a royalty on its Greenfields projects and either shares or cash now or shares or cash at some point in the future. And those discussions and negotiations will continue to be ongoing. Then the second thing we can control is how we allocate capital. In this terrible market, we do not have a tolerance for investing large amounts of money into Luna as it is too precious of a commodity for us, given not only the tough market conditions, but also the good investment opportunities that are showing themselves elsewhere. We’re using the concept of maximum allocatable capital with respect to the Luna stream and we’ve decided that we are not willing to be the only capital providers to Luna in this market. And therefore they will need to mostly stand on their own two feet. If other investors are putting immaterial money to push the assets forward, we would consider $10 million as an absolute maximum to go alongside such investments. We want to make it clear to our investors that we are prepared to be disciplined to the extreme when it comes to our capital allocation. We receive questions from investors peer-folded we’re going to [prowl] our cash into Luna and I can definitively say that will never happen. Our primary goal with respect to Luna is to diversify our portfolio not to further concentrate it. We are a royalty company and we want to ensure that we focus our efforts growing and diversifying our royalty in stream portfolio. Moving on to Burkina Faso, over the past few weeks, there have been some interesting events with citizens protesting the President’s attempt to change the constitution to allowing them to continue to stay in power beyond its previously set term limit. These protests have resulted successfully and the President is stepping down and the military and parliament are currently working out the details of a transitionary government until the new election can be held. These events understandably caused uncertainty in the country for a couple of weeks. However, my view is that this is a positive step, but as citizens of the country, we want to ensure that there are in a functioning democracy and they’re getting what they’re asking for. So with respect to the Karma Project specifically, my understanding is that construction is still ongoing at site without interruption and plant completion is still the end of next year. Moving on to the topic of share buybacks. This market with decreasing equity prices including ours, share buybacks are becoming increasingly tempting. We are firm believers that our capital should be allocated the most accretive manner, which means that we are perpetually evaluating whether it’s better to invest that capital at distressed valuations, purchasing new royalties or are we better off purchasing our own shares at distressed valuations. We are committed to doing whichever one we feel is in our shareholders’ best interest at any given time. And this is something that I compromise will continue to be topical and we will continue considering. And lastly with respect to our guidance. We’re in a challenging position to determine the best guidance to give based on the struggles at Luna. However we have decided to be very conservative and revise our longer term guidance. We’re keeping our guidance for the 2014 year unchanged, however we’re revising our 2017 guidance to approximately 45,000 ounces of attributable gold equivalent production, which mostly eliminates the ounces associated with Luna. We have done this to be conservative so that production from Luna will be seen as a positive going forward and to show our investors that we have a strong, diverse and healthy business even without Luna. Having said that, we’re still optimistic that once the current challenges have passed the Luna’s Aurizona project, will have a bright future. Today, Sandstorm has zero debt; substantial cash from balance sheet; a ruthless approach to capital allocation; positive cash flow from operations; and a highly motivated management team to take this company forward. Sandstorm as a company was created out of the depths of 2009. And looking forward, we believe that its markets like these where we will thrive. And with that, I’ll hand it over to Erfan.
Erfan Kazemi: Thanks, Nolan. Sandstorm’s attributable gold equivalent ounces totaled 12,282 in the third quarter. 74% of those ounces came from our streaming agreement and the remainder from our portfolio of royalties. Some of the notable performances include Metanor Resources. We announced in September that they produced over 50,000 ounces in the previous 12 months from the Bachelor Lake mine. Sandstorm sold 59% more gold ounces form Bachelor Lake than we did during the third quarter of 2013. Another one of our streaming partners who has seen significant increases in production is SilverCrest Mines. The Santa Elena property contributed 67% more ounces this period as compared to Q3 2013. The positive developments at Santa Elena have been the result of the successful commissioning of the new processing facility on site. Our royalty portfolio is also worth noting. Sandstorm’s royalties chipped in initial 1,123 ounces compared to same period in 2013. Some of the larger royalty contributors were Glencore Xstrata, Bracemac-McLeod project. Yamana’s Gualcamayo assets and Newmont’s Emigrant Springs mine. Now moving on to some of the specific financial results. Sandstorm’s operating margin per ounce averaged $959 in the quarter, leading to revenue of approximately $15.6 million. After costs and deductions, we posted $2.1 million in net income and close to $10 million of operating cash flow. Our balance sheet as of September 30th, showed $91 million in cash and almost $90 million in working capital. We also have access to $100 million through a revolving line of credit. We were able to extend the term of the credit facility to five years during Q3, a term generally reserved for investment grade companies, which I think highlights the growing diversity of cash flows underlying our portfolio. That’s it from me, over to Dave.
Dave Awram: Great. Thanks, Erfan. As I usually do, I’ll just give a quick update on some of the more important streams and the royalties, our cash flow today. And of course at the end of this section, I’ll just hand it over to the operator and we’ll open the lines for questions. Aurizona, so Nolan has already given an update on the status of the project and of Luna. They’re releasing their quarterly results later today, so interested parties can get a more thorough update from their report and from Luna’s conference call. I will say though, Sandstorm is still comfortable with an all-in sustaining cost of $1,100 per ounce for the foreseeable future of the operation. With Santa Elena, the new mill has been successfully commissioned and has been operating at around 2,500 tons per day average throughput and SilverCrest is moving towards the 3,000 tons per day in operations. Underground mining is ramping up to 1,500 tons per day as they implement the long hole stoping operations. Grades so far have been reconciling very well with reserves and SilverCrest is anticipating to have positive cash flow in Q4 2014. Cash costs in Q3 were higher than average but these are expected to come down and as they progress through the ramp up and as they start delivering more tons to the mill. At Bachelor Lake, Metanor has done an excellent job of continually improving operations, mined tonnages and grades are improving with almost every quarter and the costs are decreasing. During the last quarter Bachelor Lake had cash costs of $786 per ounce and all-in sustaining costs of US$946 per ounce. And they expect to maintain those costs going forward. They also continue to have impressive exploration and infield drilling results at the asset and we continue to expect the minable resource to drill. On Black Fox, Primero does continue to invest in Black Fox and is beginning to see the rewards of their investment. In this last quarter, production was up by 30% and total cash costs were down 31% compared to the previous quarter. Investment is continuing and further improvements to cost and production are expected over the coming quarters. They are still receiving and getting great drill results from Black Fox and they continue to be big believers in that project. Royalties, on the royalties item, I think it’s -- I would like to point out like Erfan did, the contribution at the package royalties are making to the company. They are now contributing more than Black Fox, Bachelor Lake or even Aurizona on a combined basis. And it’s growing to the largest revenue contributor for the company. The basket of royalties is comprised of having expense Bracemac-McLeod, MWS and more of these are all royalties operated by well finance companies and very low cash cost producers. And as we have stated before, Sandstorm has quietly accumulated 36 of these royalties, of which we received cash flow from many of them, but also see great optionality value in others. This is a real, like Nolan was talking about, this is a real growth sector for us and this is something that we are focusing on and getting extraordinary value from them. So, with that summary, I’m going to pass it over to Chris, the operator and we’ll start to open up for Q&A.
Operator: Thank you. (Operator Instructions). Your first question is from Shane Nagel with National Bank Financial. Your line is open.
Shane Nagel - National Bank Financial: Thanks operator. Just a quick question guys, maybe Dave with Luna. There is an opportunity I guess with them having to spend too much capital on the crushing to continue operating from the softer ore from the softer lead ore. How long would that mine life be, I mean how much do you guys see before this become absolutely critical that they need to raise some more money?
David Awram: Well, what they have right now is they’ve got three years of permitted sample and that’s really an important term to look at it. Brazil has got kind of inter-kit system of permitting for the mine of operations. And you have to kind of continually go through and permit some more of that. One of the things that Luna is doing right now is completing more drilling on [samplitic] targets in the Aurizona main area, which is where they have the current mining license. So, one of the concepts that Luna is looking to focus on is to drill up and start permitting more of this area beyond the current three years of it. They currently are doing a blend of kind of 8020 transitional or samplitic transitional ore and they do a very good job, the mill is certainly able to handle and do it a good job of recovery at that point. So, three years really with the current permitted sample life, but I think as many people realizing the market have seen from that project, the domain is good, there is a good resource beyond there and there is a lot of near surface low strip ratio of samplitic material that they could considerably put into the mine plan in the future, a very large amount -- in fact if you’ve had a good chance to really go over and take a look at the surface work that they’ve done and some of the surface drilling and some of the surfaces resources they have on them.
Shane Nagel - National Bank Financial: So, then if you look at where they need to raise money, I mean they could operate kind of at the current rates for a little while until really the major debt piece that would come due to them would be your $20 million mature. Is there a thought of extending that, converting that or is that wait and see as well on that loan that you have outstanding to them?
David Awram: Well, I mean the loan that we have outstanding with them, we’re certainly flexible with them in order to make sure I mean obviously we want to make sure that Aurizona stays in good health that it can continue operating as long as it can. And so, from Sandstorm certainly there is a lot of availability of cooperation on the loan that we have outstanding for them.
Shane Nagel - National Bank Financial: Okay, great. And then just one quick question if I could on Bachelor Lake, you mentioned the all-in sustaining costs at 950. They have some debt coming due next year as well, the convert, as well as one of their additional debt facility. This gold price isn’t helping anybody, but for them do you foresee some difficulties there as well in terms of maybe a bit of a financing crunch. I mean the operation is actually running smoothly. It just seems that they may hit a big of a necessary need for some funding there?
Nolan Watson: Yes. Hi Shane, it’s Nolan here. So, they have a $10 million convertible debenture due next year and most people don’t realize that it’s actually Sandstorm that owns half of that and there is another fund that we have been in contact with and have been working with. They owns another approximately 20% of that and the debenture to be modified only requires two-thirds majority. So, between until that we’ve been having discussions and we’ve already agreed that we still have to figure out the interest rate and the terms and the timing but we’re willing to push it back a little bit to give them time during this tough market.
Shane Nagel - National Bank Financial: Okay, that’s very helpful. Thanks guys.
Operator: (Operator Instructions). Your next question is from Jeff Jackson with CIBC. Your line is open.
Jeff Jackson - CIBC: Hi, thanks for taking my questions. Just from a royalty portfolio, it’s been quite a bit of time you’ve obviously seen a do much better as time has gone on. Just trying to get a long-term feel for the run rate, is this probably good level where you are seeing or is there anything else we should take into account in terms of ramping up of assets?
Erfan Kazemi: Yes, the existing cash flow and royalties that we have right now, I think you can expect fairly good consistency for each one of those projects. There are as we kind of go through, there is a couple more that are in that construction phase and in the feasibility phase. But as those ones come on, there is couple more especially all those assets which are looking to trail-off. But I think you can expect fairly consistent number from that existing package.
Jeff Jackson - CIBC: Great. And then as this becomes a more important aspect of your business, will we may be see a bit more granularity in terms of maybe the more important underlying, say top three assets or so?
Nolan Watson: You’re just referring to information about their operations?
Jeff Jackson - CIBC: Yes, or even in reporting like all the royalties are grouped into one line, so wondering maybe we’ll see some of that broken out in the future?
Nolan Watson: Yes, I don’t think in our MD&A you’ll see it broken out in the future unless we get very large royalties to justify their own lines. So if we ever buy a large royalty and it’s worth looking at by itself, we will certainly break that out.
Jeff Jackson - CIBC: Great, fair enough. That’s everything from me. Thank you very much.
Operator: Your next question is from Don MacLean with Paradigm Capital. Your line is open.
Don MacLean - Paradigm Capital: Good morning guys. Couple of questions, one on the Luna. David, maybe just give us some sense of whether or not grade profile for the saprolite transition material is relatively static going forward. And talk a little bit about how things are going at mine itself because things were not going very well earlier in the year. That would be one question. And then I guess the second type of question would be on the line of credit, maybe just bounce off us what the key covenants are for the line of credit now?
David Awram: Sure. So, just kind of quickly on the grade. Luna has released their production results. And grade for Q3 was really consistent and reconciled by well with the reserve grades that they had often at. I think for further information on that, Luna does have their release later on today and it’s probably best to leave a lot of that information there. In terms of the line of credits and debt that’s been given out to Aurizona or Luna at this point. So they have drawn down on the $20 million of the amount of capital that they use to draw down on the phase 1 expansion, not all of that has been drawn down. And with the phase 1 expansion indefinitely on hold at this point, there is no further draw down of that $10 million available to Luna.
Don MacLean - Paradigm Capital: Okay. There is actually more -- the line of credit question was more related to the overall revolver for Sandstorm itself that was the changed.
Nolan Watson: The revolver associated with Sandstorm. So they -- it’s not a revolver, just a drawdown, one-time drawdown facility, which they had drawdown earlier in the year. So they’ve drawn down on that and there are no further drawdowns that they can make on it. And there are no material covenants that will push them off side, we’re relying on the covenants that they have in the senior secured debt facility and that is just across (inaudible).
Don MacLean - Paradigm Capital: Okay. And David, maybe just can you touch on a little bit about the -- what’s happening at the mine itself?
David Awram: Yes. So, I was at mine just a couple of weeks ago. And they published the new pictures, I mean the mine actually looks great. I mean they’ve done some substantial changes to it. The pit is in very good shape. They’ve done a lot of stripping in Q3 in order to reveal a lot of that lower sample out of [core] and kind of get pit back in shape from the problems that were caused and issues they had around mining in Q1 and Q2. So frankly, it looks more like a mine today than it ever has in the past. They’ve also done a lot of work on the water management around it, which was what caused a lot of the problem. And they’ve also accumulated and begun to accumulate a stockpile which was one of the other issues that they had going into the rainy season. So a big difference entering into the rainy season this year from last year and that doesn’t happen until well into January and February is that there is much more suitable and better water drainage control for a surface water flows and there is stockpile accumulated. So overall when you look at the volume operations that they have at Lune, much, much better than they’ve been in the past and much better planning going into the future for it.
Don MacLean - Paradigm Capital: Great. And then just going back up a level, what I was referring to was the revolving credit agreement; Nolan, was your $100 million line that you’ve now extended to five years. Was there any material change in the covenants and requirements for that and what are they?
Nolan Watson: Okay, thanks. So, with respect to our current $100 million revolver, because we haven’t drawn on it, all the covenants that we have are fine. The main covenants are leverage ratios. So, the leverage ratio change year-by-year, so none of that is applicable to us at this point. There is a clause that if we cancel any of our streams, we get to relook at the size of that revolver. So, if we were to restructure limit stream for example, there probably would be a discussion with the bank about whether we still have a $100 million or that type of thing. But the revolver is in good standing and we can still draw on it at anytime for acquisition.
Don MacLean - Paradigm Capital: Great. Okay, thank you guys.
Operator: Your next question is from Dan Rollins with RBC Capital Markets. Your line is open.
Dan Rollins - RBC Capital Markets: Thanks. Nolan, I’m not sure if you are able to answer this or can, but I’ll try. Within the long-term guidance, how much are you assuming from Luna going forward?
Nolan Watson: So, in the number that we provided for 2017, we’re currently assuming 0.
Dan Rollins - RBC Capital Markets: And then maybe just moving on to the opportunities out there, the smaller royalty acquisitions that you’re looking at, would these be on development stage projects or are these on producing projects that may have hefty economic at this point in time, but could drive renewed price cycle, is that we’re looking at or is there more development stage in the next cycle?
Nolan Watson: The more development stage assets where we’re trying to get not only the royalty, but also right to first refusal to do a stream financing going out into the future and part of the reason for that is what we want to do is match the cost of capital that we have. So, rather than doing a large deal today what we’d rather do is small deal today to tie down a large deal in the future because when that mine starts going forward, obviously the gold price will be higher, the equity capital markets will be better, we’ll have more access and lower cost of capital. And so, we’ll be able to I believe at that time raise money with the low cost of capital and deploy it into streams so we kind of put it back during the dark days of this peak time.
Dan Rollins - RBC Capital Markets: Maybe just I guess a different point of view, you guys have sort of built this company from the scratch, I would say that probably because you’re not getting really much value for towards on a stream anymore. Are you guys concerned that you could become yourself and takeover target by one of your peers or potential producer that could look to acquire you and then also acquire Luna to basically share the stream, is that a concern right now or are you pretty comfortable as a standalone entity right now?
Nolan Watson: Obviously, the lower the share price goes it becomes more of a concern. One benefit that we do have is that we don’t have any shareholder over 10%, so there is no one large block that a competitor could come in and purchase and use that as levers take us over. But certainly someone wanted to come in and offer a high premium for our shares, there is not much that you can do to defend against that, so it is bit of a concern.
Dan Rollins - RBC Capital Markets: How the deal is syndicated, you’re seeing a lot more opportunities right now to do more syndicated deals or are you looking more on a standalone basis right now?
Nolan Watson: If small deals standalone, but we’ve had the discussions on syndication and it’s something that we’ll look to do in the future again.
Dan Rollins - RBC Capital Markets: Okay, perfect. Thanks guys.
Operator: (Operator Instructions). Your next question is from Alex Terentiew with Raymond James. Your line is open.
Alex Terentiew - Raymond James: Hi guys, just one question left outstanding here and this is on asset impairments. With the lower gold and silver prices some of your peers have taken the opportunity to record some impairment. Are these impairments tells something that Sandstorm does on a regular basis, ongoing basis or something maybe you plan to do more towards the end of the year?
Nolan Watson: Yes, we do it on a quarterly basis. So, if we put out a quarter and we feel that anything is impaired, we’ll write it down right away. And so, we don’t wait till the end of the year, that’s our policy. So, right now we’re comfortable that nothing is impaired in this market.
Alex Terentiew - Raymond James: Perfect. Thank you.
Operator: Your next question is from Richard Grey with Cormark. Your line is open.
Richard Grey - Cormark: Hi guys. Just on going back to the 2017 production sales forecast of 45,000 ounces, if we’re going to assume there is no Luna in there, where are you looking at the growth over the next three years to come from to basically get that number back up to where you’re going to be this year with Luna?
Nolan Watson: Yes. We made a few royalty acquisitions, which we haven’t even publicly announced, they are so small. I think cumulatively they add up to 3,000 ounces or 4,000 ounces incremental. And then we just expect Black Fox to come back up to what their guidance was and get back up and working. And SilverCrest get it up and running. And then 2017 is the first year that two of those kicks in for that 5,000 ounces from Karma.
Richard Grey - Cormark: Right. Okay. And just going back to what you said on potential renegotiation of the Luna stream, I mean you mentioned looking at getting a royalty on the mine or royalty on the Greenfields [individually] and cash and stock and whatever kind of comes out of others, so you’re looking at kind of all three?
Nolan Watson: Correct. Yes.
Richard Grey - Cormark: Okay. Thanks. That’s all I got.
Operator: Your next question is from [John Tumazos] who is independent researcher. Your line is open.
Unidentified Analyst: Good morning. Thank you for taking my question. Nolan, I was wondering if possibly you’re overreacting in the Luna situation or we’re at sort of a unique juncture 1150 to gold prices sold off and equity investors for gold mines are getting few and far between. Would you consider the option of just waving your stream below at certain gold price, but letting it kick in if the gold price recovers or almost like deferring a preferred dividend where if the company comes back in the money to pay dividend rich. The Luna property has excellent exploration potential, it’s large and attractive, and they would be unfortunate to cut a deal it quits in inopportune moment, if a year or two or three later the gold price is robust again?
Nolan Watson: Yes. So we have -- I can promise, this has occupied a tremendous amount of our metal space. We have looked at it every way from either giving them time off from having to deliver this dream or putting price when it kicks in or allowing them to pay us in shares for a period of time instead of cash, it doesn’t go in there cash reserves or changing the ongoing price that we pay; we’ve sort of looked at everything. In my view, it all comes down to the fact that they are going to need a substantial capital infusion for a crushing and grinding circuit and some other capital items that they’re going to need to spend money on as well. And they’re not small tickets and they’re not cheap, which means that Luna’s going to have to raise material amount of capital, not immediately. They don’t need to do it today necessarily but before 2017, they are going to have to do it. And in order to attract that capital, we need to find a structure that new money would have a chance of coming in at. And so that’s what we’re exploring right now is talking actually behind the scenes with private equity, with other mining companies with funds they would be willing to write checks and determine what is the structure that they would be willing to consider writing check on. So that’s really what’s driving the process behind the scene.
Unidentified Analyst: Thank you.
Operator: We have an additional question from the line of Dan Rollins with RBC Capital Markets. Your line is open.
Dan Rollins - RBC Capital Markets: Wanted to circle back with follow-up on Richard’s comments, Nolan. Did you say that there are some royalties that you haven’t announced that could start to provide 3,000 to 4,000 ounces in 2017?
Nolan Watson: Yes.
Dan Rollins - RBC Capital Markets: Is there any color on those assets or can we expect to see color out on those assets in the near future?
Nolan Watson: Yes. I would say early to mid next year, there will be a bit more color on them.
Dan Rollins - RBC Capital Markets: Okay, perfect. Thanks guys.
Operator: Your next question is from [Kyle Oak with Opus Energy]. Your line is open.
Unidentified Analyst: Hey there, Nolan. Just a general overall question for you. How would you compare the first five years with Sandstorm to your first five years with Silver Wheaton? And also is there anything kind of that you learnt through your time at Silver Wheaton that you’ve been able to Sandstorm?
Nolan Watson: Yes, great question. So first years at Silver Wheaton was in a market that five years straight, went straight up and everything seemed fairly easy for us; silver prices higher every year than it was the year before and the market cap was every year than it was the year before. Right after I left to go startup Sandstorm, after that is when the market sank. And so I wasn’t there at the time Silver Wheaton went from a share price of $20 something all the way down to $3 because they had debt that they couldn’t repay. So one of the lessons I learned from watching it at that point from a far it was, markets can get very, very bad at the bottom of the cycle and we shouldn’t have debt because that’s when the best deals can be found. And so I think we’ve actually applied that lesson here where everything else is taking, we have no debt and we have cash flow from operations. So, I think that going forward, we’ve positioned ourselves well at the bottom here to really make hey, in this market.
Unidentified Analyst: Great. Okay. And also do you anticipate bringing Sandstorm to kind of the levels of some other major streamers like Silver Wheaton, think about it?
Nolan Watson: Well, our focus is on value per share more than it is on absolute size. I do think that we are going to continue to grow as a company and diversify our asset base and eventually become a large company; that’s going to be a byproduct of doing smart deals rather than just trying to become big for the sake of become a big.
Unidentified Analyst: Okay. Thank you very much.
Operator: We have an additional question from the line of Don MacLean with Paradigm Capital. Your line is open.
Don MacLean - Paradigm Capital: One last one on the reduced admin costs. That’s a quite substantial cut and I’m sure those are very difficult decisions to make. But is that a sustainable reduction Nolan?
Nolan Watson: Yes, there is certainly two parts to it. There is the cash outlay component to the G&A and then there is the stock-based compensation portion of it. So, in the last couple of years, we haven’t issued any stock-based compensation. And I think it’s tough to retain employees while doing that. So, what I do think is sustainable at the cash portion, we really have cut that down and I do think that we can continue to run the business if that [matters] further cuts on the cash side of things that we’re going to be making. And I think that’s still sustainable, but you will see probably in this quarter that the Board issue some stock-based compensation, which will begin -- we’ll be amortizing. So, the G&A line may go up and then it will start going down again as we amortize that going forward.
Don MacLean - Paradigm Capital: Right. So, if you look at the cash component of that 1.6, what would that be roughly?
Nolan Watson: That’s probably 1.3 cash.
Don MacLean - Paradigm Capital: For the large part, yes.
Nolan Watson: Yes.
Don MacLean - Paradigm Capital: Okay, great. Thank you.
Operator: (Operator Instructions). Your next question is from [Matthew Williams] who is a Private Investor. Your line is open.
Unidentified Analyst: Hi, guys. Thanks for taking a couple of questions, two questions. So, the first one, you discussed Luna’s need to raise more capital in the future. And I want to get your views on Metanor’s ability to sustain the current gold price environment without needing to raise more capital. So, that’s the first one. And then second one is, kind of on the similar wavelength with the prior lessons learned question, but I want to tie it into same store metals and energy and kind of how has that experienced help shape your thinking with same store in gold and specifically operating within a difficult macro environment. And then kind of how that overlays dealing with some of the troubled mine partners who needs more capital?
Nolan Watson: Yes, great questions. So, in terms of Metanor, they are actually actively raising capital right now. It’s recently publicly press released by them, they in an equity financing. So, they do want to raise additional money to continue drilling. The asset, it’s important for those types of assets when you only have four years worth of reserves in front of you that every year you’ve got to keep those four years in front you, so they’re raising money to do that. I spoke with their management team two days ago just to get an update on how that financing is going; obviously it’s a challenging market to be raising capital. But I think they should be able to raise some of the money that they need. And then moving on into lessons learned with respect to Sandstorm metals and energy, I think those are fairly well documented, but I would say the main takeaway is that the credit quality of your counterparties is paramount and that’s a lesson that we learned over the last couple of years and that’s one of the reason that we’re starting to focus more and more on the royalty portfolio side of things and really want to mature that on average our counterparties are stronger. We will take beyond risks still with assets that are more certainly capitalized, where we think we can get multiple returns on capital, but we don’t want to be a company with the whole portfolio of those types of things, we really want to be viewed similar to the (inaudible) of the world where people aren’t worried about anyone particular royalty going up. So, what we have to do is, diversify ourselves to increase the quality of your counterparties and then we’ll have a fairly robust business.
Unidentified Analyst: Thanks guys.
Operator: And we have an additional question from the line of [Kyle Oak with Opus Energy]. Your line is open.
Unidentified Analyst: Yes. My next question is about sentiment and like obviously right now it’s pretty low some saying can’t get any lower. I don’t know if you want to speculate or whatever, but just kind of wondering what would be your anticipation in the next year as far as metal price go and if you anticipate what sentiment might be within this next year?
David Awram: Yes. Certainly the direction of metal price is very top to predict, it is so volatile right now. And so, the way we’re viewing it is we’re kind of stay as flexible as possible. We’re trying not to be the guy that waits until the absolute bottom to try to find good deals, because we don’t want metal prices to go up $200, $300 an ounce in the next year, we don’t want to have missed some of the opportunities that are we’re in front us. At the same time, we don’t want to get all of our capital right now because we do have a view that there is a reasonable chance call it 50% if metal prices continue to go down further over year or two. In which case, sentiment will continue to get worse. Having said all of that, one thing that is incredibly encouraging to me is that if you look back at four months ago, the market was bad, the equity market was bad, the gold price was bad except CEOs and the types of companies that we were dealing with. They were highly optimistic that things were going to turn around very, very quickly. And that makes it really tough to transact because every time you gave them an offer that may be as lower than what they were expecting they say no, because they know that if things are going to go straight up and they’re going to get a better deal they wait a few months. And as things continue to get worse and worse, those CEOs are coming to the reality that this could be quite a while before things turn around and then if we’re giving them capital now that they should probably take it. So, we’re seeing people seriously entertain deals that they absolutely would not have entertained four months ago. And so negative sentiment is tough as a shareholder of Sandstorm, which I am because the negative sentiment affects the share price, but at the same time that negative sentiment is a huge tool to help us conduct our business. So it’s not fairly all that big for us.
Unidentified Analyst: Right because basically you can acquire assets at a much, much more reasonable price than you would be able to you say even a year ago.
Nolan Watson: Yes exactly.
David Awram: It’s David, just to kind of expand on that. It’s more than even just a year ago or even just eight weeks ago or 12 weeks ago it’s much tidier. One of the things that the market is concerned about we’ve had investors calling us asking us what our sentiment, how we’re feeling about? And yes, as Nolan and I as founders and shareholders of this company, certainly it’s painful to see a stock price down where it is, but at the same time too, I think both, I can speak for Nolan, so we’re more excited than ever in terms of value accretion I think we can add into the company. Like Nolan has said before and I don’t think it can be over said, it’s really kind of the Board went out there, the ones we have kept their capital around kept their cash around they can deploy it and turn that millions into multi, multi-millions when the things go, when the market turns around. And that’s what Nolan and I keep reminding each other as we move forward in this market environment.
Nolan Watson: Yes. And I can completely relate to that because I’ve been trying to acquire physical over the last two years and basically it was super, super tough and I had all these doubts and questions and all that, but it just seems within the last week or two, I’ve completely turnaround my logic and my thoughts and I am looking at these prices that are just for me it’s almost a great thing. And I guess we can relate that almost to Sandstorm’s model in that low price means great acquisitions.
David Awram: Absolutely great.
Unidentified Analyst: Okay. Thanks guys.
Operator: And there are no further questions at this. I’ll turn the call back over to Mr. Watson.
Nolan Watson: All right, thanks very much operator. And thanks everyone for calling in for today’s call. And as usual if you have any follow-up questions feel free to phone anyone of us here, we’ll be happy to answer those questions. And have a great day.
Operator: Ladies and gentlemen, this concludes today’s conference call. You may now disconnect.